Operator: Good day and thank you for standing by. Welcome to NVE Conference Call on Third Quarter Results. At this time, all participants are in a listen-only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to your speaker Dan Baker, President and CEO. You may begin.
Daniel Baker: Good afternoon and welcome to our conference call for the quarter ended December 31st, 2022. This call is being webcast live and being recorded. A replay will be available through our website nve.com. I'm joined by our CFO, Joe Schmitz. After my opening comments, Joe will present a financial review then I'll cover marketing, design wins, new products and then we'll open the call to questions. We issued our press release with quarterly results and filed our quarterly report on Form 10-Q in the past hour, following the close of market. Links to the press release and 10-Q are available through the SEC's website, our website and our Twitter time line. Comments we may make that relate to future plans, events, financial results or performance are forward-looking statements that are subject to certain risks and uncertainties, including among others, such factors as uncertainties related to the economic environments in the industries we serve. Risks and uncertainties related to future sales and revenue, uncertainties related to future stock repurchases and dividend payments, our dependence on critical suppliers and risks related to supply chain disruptions as well as the factors listed from time to time in our SEC filings, including our annual report on Form 10-K for the fiscal year ended March 31st, 2022, as updated in our just filed quarterly report on Form 10-Q. Actual results could differ materially from the information provided and we undertake no obligation to update forward-looking statements we may make. We're pleased to report a strong quarter. Net income for the quarter increased 22% to $0.88 per diluted share, driven by a 22% increase in product sales. Joe will cover the details of our financials. Joe?
Joseph Schmitz: Thanks, Dan. Third quarter total revenue increased 18% to $7.4 million from $6.29 million for the prior year quarter. This was our second consecutive quarter with large year-over-year revenue increases. The increase was due to a 22% increase in product sales, partially offset by a 46% decrease in our contract R&D revenue. The large increase in product sales was primarily due to increased purchasing by existing customers and new customers. We acquired new customers from traditional semiconductor companies with our superior products and shorter lead times. Sales increased in most of our markets and product lines. Sales were especially strong in industrial markets, which more than offset some weakness in our medical device markets. Improvements in our supply chain allowed increased product shipments, although there continue to be risks related to those shortages. Paradoxically, supply chain disruptions may have favorably affected product sales for the quarter and nine months. Since we believe the disruptions may have been less severe for us than some of our competitors. We may be less susceptible to supply chain disruptions because we have our own wafer fabrication and product test operations. On the other hand, we believe the supply chain disruptions have had an unfavorable impact on our cost of sales. Improvement in the supply chain may have been due to reduced demand in some semiconductor industry sectors such as memories, PC and consumer electronics. Demand for our primary sectors of mixed signal integrated circuits appear to have been less affected by the industry downturn, although there are risks and demand could change. The decrease in contract R&D revenue was due primarily to the timing of completion of certain projects. Gross profit as a percentage of revenue increased to 80% for the third quarter of fiscal 2023 from 78% for the third quarter of fiscal '22, primarily due to increased prices and economies of scale due to increased revenue. Total expenses increased 31% to $1.1 million for the third quarter of fiscal 2023 compared to the quarter -- third quarter of fiscal '22, due to a 17% increase in R&D expense and a 62% increase in SG&A. The increases in expenses were primarily due to increased employee compensation expense and increased staffing. While spending was higher in total dollars as a percentage of sales, spending was only 1% higher versus the prior year quarter. Interest income for the third quarter of fiscal '23 increased 43% due to an increase in our available for sale securities and an increase in the effective interest rate on those investments. Net income for the quarter increased 22% to $4.23 million or $0.88 per diluted share compared to $3.47 million or $0.72 per share for the prior year quarter. The increase was driven by increased revenue and increased interest income, partially offset by increased expenses. Net income increased from 55% to 57% of revenue. For the first nine months of fiscal 2023, total revenue increased 26% to $24.5 million from $20.3 million for the first nine months of the prior year. The increase was due to a 27% increase in product sales, partially offset by a 13% decrease in contract research and development revenue. Net income increased 35% to $14.5 million or $2.99 per diluted share from $10.7 million or $2.21 per share for the first nine months of fiscal 2022. Turning to cash flow. Our strong balance sheet and strong margins allowed us to buy equipment to build the capacity we needed and pay premiums, if necessary, for the raw materials we needed. Cash flow from operations for the first nine months of the year was $14.8 million. During the first nine months of the year, we increased inventories $1.37 million to help mitigate shortages. Despite the inventory increase, our cash flow from operating activities actually improved by $288,000. Purchases of fixed assets were $908,000 in the first nine months of the fiscal year, and all but $24,500 were in the most recent quarter. These were primarily capital expenditures for additional production equipment that we plan to deploy this quarter to increase our capacity. The $14.8 million cash flow from operations more than covered the $14.5 million for the three dividends declared so far this year. We have now paid more than $155 million in dividends since we started paying dividends in 2015. Today, we announced that our Board declared another quarterly dividend of $1 per share payable February 28th to shareholders of record as of January 30th. That will bring our total dividends to more than $33 per share since 2015. Now I'll turn it back to Dan.
Daniel Baker: Thanks, Joe. I'll cover marketing, design wins and product development. The marketing highlight of the past quarter was promoting our products at the Electronica Trade Show in cooperation with our distributors. Electronica is a major industry event and it was live for the first time in four years. Highlighting recent design wins, we're pleased with the interest in products for power conversion and alternative energy. In the past quarter, we got two isolator design wins, a design win in home energy storage for green energy and another design win in electric vehicle charging stations. The expected revenues from both those design wins are modest in the near term, but highlight our value proposition and our prospects for the future. Farther from home, we've mentioned before that we have parts on the Europa Clipper mission to a moon of Jupiter. The launch is targeted for October 2024 and the mission is to investigate whether Europa has conditions suitable for life. Our parts are also being evaluated for the Mars sample return mission, and this month, we completed rigorous testing and shipped a number of parts to NASA. That mission is to return soil samples from Mars. The mission is scheduled to launch in 2028 and return to earth in 2033. These NASA projects are not large revenue, but they will validate the exceptional reliability of our technology. Turning to product development. In the past quarter, we expanded two product lines, our line of Tunneling Magnetoresistance magnetic sensors and our family of the world's smallest DC-to-DC converters. The new magnetic sensor is an ultra-high sensitivity magnetometer, our most sensitive sensor ever. High sensitivity allows more precise motion, speed and position control in robotics and mechatronics. There are two demonstration videos on our website and YouTube channel. DC-to-DC converters transmit power without a direct electrical connection. Our smallest parts are less than a quarter by 8th of an inch. DC-to-DC converters are critical components in a number of industrial and automotive applications, including interfaces to next-generation power switches such as silicon carbide power transistors. These transistors are an emerging market with the potential to improve the efficiency of power control and energy storage. There is a demonstration showing the simplicity of using our DC-to-DC converters, spintronic couplers and silicon carbide transistors for power control in the video section of our website as well as our social media sites. We're proud to supply products to some of the world's most demanding customers, including Abbott's Pacesetter subsidiary. Abbott is a leading supplier of implantable medical devices. We recently executed an extension to our supplier partnering agreement with Abbott, which Joe negotiated on our behalf. The extension runs through the end of 2023 and includes price increases that will help offset our cost increases. The latest amendment was filed on a current report on Form 8-K/A and incorporated by reference in our just filed 10-Q. It's also available via our website or the SEC's website. Now I'd like to open the call for questions. Tawanda?
Operator: [Operator Instructions] Our first question comes from the line of Jeffrey Bernstein with Cowen. Your line is open.
Jeffrey Bernstein: Hi, Dan and Joe.
Daniel Baker: Hi, Jeff.
Jeffrey Bernstein: So a few questions here. Just wanted to ask. So 22% product revenue growth during a semiconductor downturn is a nice number. There was obviously a sequential decline after you had some pull-ins, I think, last quarter in the PUF business. But can you just sort of parse out that growth rate in terms of what you think might have been catch-up on prior deliveries versus kind of purely organic growth? Any color you can give around that and any differentiation between new customer sales and legacy customer sales?
Joseph Schmitz: Thanks for the question. This is Joe. We typically compare to prior year quarters. That said, there are a couple of things, and you mentioned one of them. Our anti-tamper product sales for the defense sector and isolator sales were exceptionally strong during the September quarter, and they've returned to more normal levels in this quarter, particularly the anti-tamper product. That's a chunky business and tied to the customers' development cycle, so we can't really control that. Medical devices were rather weak in the December quarter. We do expect that, that business will recover in the March quarter, though.
Jeffrey Bernstein: Okay, that's great. Thank you. And just curious, so you've been through this period that kind of a once-in-a-lifetime opportunity to get in front of new customers and get some new design wins. What did you guys learn overall about marketing from this experience?
Daniel Baker: This is Dan. So we learned the value of some of the features that we have and in particular, some of our customers like different features, and that will inform our future product development. But we have picked up, as you alluded to, we picked up a number of new customers. Some of them came for the shorter lead times, but we expect them to stay for the product performance and we expect to be an excellent supplier. So we saw a great opportunity to open some doors that hadn't been opened to us before as a smaller company. So we saw it, as you say, it was a great opportunity, and we're determined to make the most of it.
Jeffrey Bernstein: And then are there any kind of key performance indicators on design wins or others that you guys kind of share with the Board to give some future indication of future growth?
Daniel Baker: So we tend to look at our order flow and Joe has commented on that. We look at new customers. We look at design wins. I was able to share two of those. So are we getting design wins in the markets that we've targeted, even though they may not represent large near-term revenues, we see them as important indicators for the future. So those are things that we tend to look at internally. We share them in calls like this wherever we can. And then we also look at things like our key strategic customers, and we've commented on Abbott in this call, and we were happy to be able to report a renewal and we expect them to continue as a customer for the foreseeable future.
Jeffrey Bernstein: Thanks. And then just on the growth rate, 20% product growth plus in this quarter. Do you think that kind of growth rate is a sustainable number here going forward? Or how should we think about modeling product growth?
Daniel Baker: Our goal is to grow. And so that's what our plans are. We invest in the future. As Joe mentioned, we invested over $900,000 in fixed assets to increase our production for the year. We continue to invest in people, as Joe mentioned in his comments about our expenses, which are investments we see as investments in the future. So, it's hard to predict the growth rate. As you know, we're in an industry that has -- that's cyclical and has its ups and downs. But our goal is -- our goal over the long-term is certainly to be a growth company. We believe we have products that are in demand. We have excellent technology. We have great people, and we're picking up some really top-notch customers in key markets that we talked about in the prepared remarks. So that is certainly our goal is to be a growth company.
Jeffrey Bernstein: Thank you for that. And then I wanted to just ask about the -- I think you had signaled the investment in test equipment. I believe it was and talked about that being kind of a bottleneck and that packaging supply was another area with some headwinds. Can you just give us an update now? So is that equipment in place? And do you expect that's going to do something significant for the -- your ability to grow now?
Daniel Baker: So, the equipment is physically here, which is why it showed up in the fixed asset expenses and in our cash flow statement. Our team is working on deploying the equipment and it's partially deployed. We still have some work to do, but it's looking very good. Our suppliers and our engineering team have given it a top priority, and they've really done an outstanding job on deploying some very complicated state-of-the-art equipment with artificial intelligence and other features that will help us be more efficient, help our employees be more efficient and continue our trends being a very productive company with high revenue per employee. So I think we said our goal would be to fully deploy that equipment this quarter. That's an aggressive goal. That's the March quarter. But we believe it's achievable and so that will help our capacity in the relative near term. So as Joe alluded to in some of his remarks, we -- one of our advantages over other semiconductor companies, traditional semiconductor companies is that we have our own front-end and back-end operations. So that equipment that you referred to as the back-end operation or part of packaging and test. So we don't package ourselves, but we do test ourselves. So that gives us a big advantage over other companies, removes that bottleneck. And those investments, this equipment has a long lead time. So these are investments that we made some time ago, committed to them some time ago. So they're just coming to fruition now. So the timing, I think, we see as fortuitous. We see ourselves with opportunities to grow and having the capital equipment in place will help enable that growth.
Jeffrey Bernstein: And so, Dan, just from a revenue perspective, is that the impact of this test equipment from the fact that you can show potential customers a domestic supply chain capability kind of thing down to testing? Or is it that you actually have product that your backlog on because you had a bottleneck of testing? Or is it both?
Daniel Baker: It's both. I might put a little color on the second point, which is that we quote lead times. So we quote lead times that allow for us to test the parts. So having more equipment allows us to quote shorter lead times. So we think that, that's important to many customers. To your first point, with supply shortages and the supply chain challenges that have been well publicized throughout the semiconductor industry, many companies are looking for domestic suppliers and onshore supply. So there's been a lot written about that. And of course, the priorities that have been set domestically by the CHIPS Act and other actions that encourage domestic supply of semiconductors. So we're proud to be a part of that. And some of these investments may benefit from those incentives. And we do have customers that ask us about security of supply and being able to tell them that our back-end operations and much of our front-end operations are here in the United States. That is important to some of our customers and that's a competitive advantage.
Jeffrey Bernstein: Great. Thank you for that clarification. And so I'm going to jump off and let somebody else ask some questions. So I may come back with some more.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Andrew Bell with Shores Edge Financial. Your line is open.
Unidentified Analyst: Hey, Dan, this is [indiscernible]. I'm sitting here with Andrew from Shores Edge. Congratulations on a great quarter and congratulations on being included in some really important space missions. That sounds very exciting. I had a question about the receivables and the inventory and kind of the dichotomy here. So your receivables are really kind of very much on the low end, and can you provide some color around that, that your sales have been quite high these last two quarters, but the receivables are going down just seems unusual. Have you changed anything as far as customer payment requirements or how you bill and ship or requiring prepayment? Or is there something else going on there?
Joseph Schmitz: This is Joe Schmitz. I'll address the question, and thank you for noticing that. Our accounting team has taken a lot of pride in that result this performance or this quarter. I would say there's really two pieces to that. Typically, well, first of all, I should back up. We -- our terms have not changed nor has the mix of customers change to the point where the days sales outstanding would significantly change. What you're seeing there is the result of a lot of good work to diligently pursue accounts that are trending towards past due. And then you'll also -- and then also, this quarter, if you remember -- if you recall from last quarter, where we had a high level of anti-tamper, big project-related sales, I mean, we got collection on a lot of those outstanding receivables this quarter. So that is also a favorable outcome. But I just want to compliment my team on the work that they did to help us keep in front of this. There's just a lot of good work that happened there. In most other applications, I would say I would see inventory as a drain on working capital. In this particular environment, at this particular time, that helps us reduce our backlog, serve our customers faster. And I see that as a healthy thing for our business at this point in time. And I would not say that it's not coincidental that we try to find a way to fund our working capital without having to dip into the bank account, so to speak. So they are related in that context.
Unidentified Analyst: So as I understand you, the inventory increase is really about making sure you don't get caught with supply chain shortages and getting -- and just having adequate parts on hand to be able to provide quick turnaround time. So maybe part shortages are a big deal, right? So like if you don't have something, you might not be able to get it for some number of months is what I'm thinking about?
Joseph Schmitz: Yes, yes. We've -- to Dan's point or to what we said earlier, I guess it was my comment, I mean in some cases, we've paid a little bit of a premium to get the inventory on hand so we can meet our customer delivery schedules. We've also taken larger quantities than we would necessarily take because, in some cases, the supply chain has been spotty. So I think at this point, as I said earlier, at this point of time in the company, that increase in inventory is going to help us in the future to deliver to customer schedules.
Unidentified Analyst: Right, right. That makes sense. Okay. One other question. Can you provide any color on the kind of the order flow within the quarter, would you say it was relatively even? Or did it kind of slow down towards the end of the quarter or been increasing? A lot of the other companies, there's some slowdown happening in certain sectors, so I'm just kind of curious if there's any commentary you can provide on the sort of the trajectory of the order flow in general over the course of the quarter?
Joseph Schmitz: Yes. I would say we still have good order flow. I think if anything, we are seeing customers, in some cases, reseasonalizing their demand based on their schedule. But in terms of the flow itself, we've not seen a decrease.
Unidentified Analyst: Okay. Excellent quarter. Congratulations on being able to earned the dividend for the three quarters and hope for to market news for you next quarter.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Donald Hall. Your line is open.
Unidentified Analyst: All right. Hello?
Daniel Baker: Hi, Don.
Unidentified Analyst: Yes. Hi, Dan. Obviously, you had nice year-over-year comparisons, and you're doing well, and we appreciate as a shareholder, I appreciate that. But I'd like to focus in on product sales, last quarter, were $10.5 million. This quarter, $7.2 million. That's down over $3 million. And you explained that somewhat of defense -- apparently a big defense order and some other cyclical issues. But that would imply you were not capacity constrained in the third quarter, yet you are adding capacity, which looks good and is promising. Can we expect that the sales will jump up to $10 million again pretty quickly based on these factors? By the way, I'm quoting here, you also said that we have a number of top -- new top-notch customers. So I'm assuming they're part of the reason for the capacity additions. So please explain that a little more, the capacity and the sales that can be expected and when?
Joseph Schmitz: Well, this is Joe. I'll try and answer some of that -- some of those questions. You were correct that there is a chunkiness in our government-related business that we alluded to in our comments. We're still serving that market. It's just returning to a more of a normal state. So I would say that to jump back up to a $10 million quarter would be not something that we would say that we can readily see in the future, although that's certainly our goal. The capacity discussion is around reducing our backlog, improving our service levels and being positioned to attract new business when those opportunities present themselves. So -- we have -- so in the short-term, we will be reducing our product backlog with these new investments, but we're also laying the foundation for, hopefully, good things to come in the future.
Unidentified Analyst: Okay. Dan, do you have anything to add to that?
Daniel Baker: Well, as I said, our goal is to grow, and that's why we're adding the capacity. And we have several different segments that we serve. So the test capacity is in the business that the industrial and medical business, which is our core business. And then we have the lumpy anti-tamper business that Joe alluded to. So I think the cycles that you're looking at are not indicating a slowdown in business as much as some of the lumpiness that our business has. And we're structured as you probably know, that we're pretty flexible. We have a lot of equipment. We work on making sure that we have adequate capacity across the board so that we can handle increases in business that we avoid bottlenecks and then we invest well in advance of -- to prevent bottlenecks. So that's why we -- the equipment that we have now are investments that we committed to a year ago or more. So we're very optimistic about the future, and we're investing in making sure that we can be a growth company.
Unidentified Analyst: Okay. Thank you. And then just one other aspect. You renewed the Abbott contract. Is there anything you can tell us -- does that imply that they're just going to continue ordering as they have in the past? Or is there a lot of potential increase in business in that renewal?
Daniel Baker: So, yes, we try not to speak for Abbott. But we certainly see that we have a strong benefit proposition in providing parts for their medical devices. And these are medical devices where the long-term trends are favorable, sometimes in the short-term, as Joe alluded to, like in the past quarter, revenues were down a bit. But the long-term prospects are very good for those. The demographics are -- we're all getting older. We're going to need pacemakers and other medical devices. The -- we're starting to see a recovery in health care from the slowdown for discretionary health care through the pandemic. So as you probably saw, there was an article in our local paper, the Star Tribune about the increase in health care services that we're seeing here in Minnesota and throughout the country. So we certainly see the trends as very positive, but it's a business that has a fair amount of inventory in the chain, as you would expect, for a life support medical device and it can be somewhat cyclical in the near term and sometimes factors beyond our control impact the business in the near term. So things like new model introductions, competitive introductions, FDA approvals, treatment practice for heart failure and other conditions. But in the long-term, we see this as a very good business where we have a strong benefit proposition and where there's good growth potential.
Unidentified Analyst: So probably, the renewal is just sort of a general agreement. It's not product specific. Is it makes sense?
Daniel Baker: Well, it is product specific, but it's an agreement of --
Unidentified Analyst: From your standpoint, is it product specific from their standpoint, certain of their end products?
Joseph Schmitz: No. This is Joe. It's product specific from our perspective from what we delivered to them.
Daniel Baker: So what is public is that they list the subsidiary, it's in the contract. So it's a matter of public record. So the subsidiary that buys these parts of Pacesetter, which is the CRM division, the cardiac rhythm management division of Abbott. So from that one can certainly infer that, that's where these devices are used. But from our standpoint, it's a contract or an agreement to supply a certain type of sensor. And so that's -- and the rest of the specifics we had to redact from the agreement for confidentiality concerns.
Unidentified Analyst: Okay, thank you very much, and good luck going forward. It was nice quarter. Thanks.
Daniel Baker: Thanks, Don. Always a pleasure talking to you.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Alex Woodward with Bridge City Capital. Your line is open.
AlexWoodward: Hi. I wanted to ask about linearity in the quarter. Looking at the DSO and the days inventory, it looks like that -- what was linearity like especially at the end of the quarter?
Joseph Schmitz: So for clarification, could you define for me what you mean by linearity?
Alex Woodward: Linearity in terms of revenue being recognized.
Joseph Schmitz: I'm not sure I understand the question. If you're asking, is there a direct correlation to the drop-off in revenue to the reduction in receivables to some sort of a drop off of revenue. I'm not sure you can make that case because a lot of our receivable activity was on, as I mentioned, was on large outstanding project-related work that we're getting collection on. So I would not say that as due to some sort of a decrease in revenue as much as just a lot of good hard work on our end. I don't know if that's answering your question, but I'm trying to interpret your --
Alex Woodward: Well, I don't doubt that there was a lot of hard work on your end, but your DSOs are 25 days. And if your terms are 30 days, then you're less than a cycle if everyone is paid. So it would appear that maybe you didn't have as many sales in the last month of the quarter?
Joseph Schmitz: Well, I think we had said in our prepared comments, we did have some softness in our medical device sales. Some of that was in December. Not all of our customers are on 30 days. Some of our customers actually have shorter terms.
Alex Woodward: It's a very good number, 25, it's a record as far as I can tell. But inventory days are also a record, excluding the first COVID quarter. And a lot of that is in work in process raw materials, which I view is a good thing. But would you anticipate that the raw materials would start to work its way lower from here?
Joseph Schmitz: Yes. I mean I think that -- I mean, that's obviously what we intend to do. I think that would be a reasonable assumption. I mean that product is going to be -- that raw material and work in process is going to be used to fill existing orders. So I would also say that you'll see a -- you saw a little bit of an increase in our finished goods inventory as well, and that was a buildup for some of our future demand that we have in the first quarter of this year. So it wasn't all finished raw materials and work-in-process.
Alex Woodward: No. Well, that's correct. I mean it was all three categories grew, but it does seem like with supply chain constraints using raw materials would come down, the work-in-process increase. I believe one of the gentleman earlier asked about if we could continue to see the 20% growth. But just looking year-over-year, both finished goods and work-in-process, they're up 20 in -- almost, what, 30% or 40%. So it would seem that your inventory at least is positioned for the company to continue to grow. Is that correct that's at a pretty rapid rate?
Joseph Schmitz: We're not going to get into the business of projecting future sales, but that has been one of the things we've talked about on these calls over the past year is having the inventory ready to meet customer demand. So, yes, that's our intent.
Alex Woodward: Very good. Thank you.
Operator: Thank you. Please standby for our next question. We have a follow-up question from the line of Jeffrey Bernstein with Cowen. Your line is open.
Jeffrey Bernstein: Hi, guys. Just a couple of quick follow-ups. So Dan I think you have said in the past that you guys might actually be the dominant player in sensors used in the new generation of hearing aids. And those OTC hearing aid regulations came out, I guess, in October after a lot of delays, et cetera. I know it's very early in the development of this market. What are your thoughts about what kind of traction you're seeing from customers? Is this a needle-moving event next year or the year after? Or how are you thinking about this at this point?
Daniel Baker: Well, we certainly see it as an excellent opportunity in the long-term and the chance to help serve a large underserved market. There are statistics that the FDA has cited that only about 20% of those who could use a hearing aid seek hearing aids, presumably because many are discouraged by the prices and the dispensing inconvenience. We have seen that there are large retailers now offering OTC hearing aids, which on our last call in October, we couldn't quite say that. We are starting to see signs of it. So there have been a number of announcements by brick-and-mortar and online suppliers that they're going to be offering OTC hearing aids. So we do see it as an excellent opportunity to grow a market. And for us, we look at -- we've developed products that are geared for that market. So these products are probably going to be rechargeable or more skewed towards rechargeable as opposed to primary batteries that are -- that tend to dominate the legacy hearing aid business. So our goal is to serve both markets, the OTC hearing aid market, the traditional hearing aid market. And also we see a broader hearables market as more and more companies are developing consumer wearables and hearables. So we've developed rechargeable compatible sensor devices, and those parts have received some very positive feedback in that industry. So we do see that as an excellent market.
Jeffrey Bernstein: Great. Thank you. And then just a couple of others. You guys did some development work on a Spin-Torque diode. I think it was like a gigabaud kinds of data rate and with implications that there was government interest, of course, they funded the research, I think, and then potentially some commercial interest at some point. Whatever happened with that?
Daniel Baker: So, yes, you've got an excellent memory, Jeff. So those were some devices, some research that we did in 2018, we completed a contract with the Army that successfully demonstrated the feasibility of a Spin-Torque microwave diode spectrograph. So that has military usage and -- but we also invested in the technology because it could increase speed and also plays into the anti-tamper or physical unclonable function market. And I think one of the other areas that, in fact, I think you might have pointed out is that there's some fascinating research going on in probabilistic computers. And we've demonstrated stochastic magnetic tunnel junctions which are similar to the technology that was used that we developed for those Spin-Torque diodes. And that's been proposed for the -- as a component, a key component for probabilistic computers. So it's long-term, but we do see that research as having applicability in other areas in addition to the focus at the time, which was five years ago, which was primarily for defense applications.
Jeffrey Bernstein: Got you. Okay. That's great. And then just one other. You guys have looked at the analytical equipment market as a potential end market at some points in the past. And I know you were doing something looking at exosome detection. I was just wondering if anything had progressed there.
Daniel Baker: Yes. So we continue to see exosomes as a fascinating area. So exosomes are biological components that can be used to diagnose disease such as cancer and to make less invasive cancer tests. So we do have biosensor technology for higher sensitivity electronic rather than the optical test that can be used to detect exosomes. So we are looking at possible partnerships to use our technology. We don't envision ourselves getting into the medical diagnostic market. We don't have the distribution or the expertise on the equipment side. But we do see the possibility there of providing sensor systems and advanced biosensor systems to support those. So that's an area of long-term research and exploration for us.
Jeffrey Bernstein: Got it. That's great. Thanks very much for the help today.
Daniel Baker: Thanks, Jeff.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Walter Morris with Baraboo Growth. Your line is open.
Walter Morris: Hi, Dan. Hi, Joe. Excellent quarter. My question was on the emerging hearing aid market, and that has been answered. So I'm okay. Thank you.
Daniel Baker: Okay. Thanks, Walter. By the way, my Midwestern roots won't let me go without saying it's Baraboo.
Operator: Thank you. I'm showing no further questions in the queue. I'd now like to turn the call back over to Dan for closing remarks.
Daniel Baker: Well, thank you for all the questions. We were pleased to report a 22% increases in product sales and earnings for the quarter. We look forward to speaking with you again at our fiscal year-end call tentatively in early May. Thank you again.
Operator: Ladies and gentlemen this concludes today's conference call. Thank you for your participation. You may now disconnect.